Operator: Good day, and thank you for standing by. Welcome to Nanophase Fourth Quarter 2023 Financial Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session [Operator Instructions]. Please be advised that today’s conference is being recorded. The words believe, expects, anticipates, plans, forecasts and similar expressions are intended to identify forward-looking statements. Statements contained in this news release that are not historical facts are forward-looking statements that are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements reflect the company’s current beliefs and a number of important factors could cause actual results for future periods to differ materially from those expressed in this news release. These important factors include, without limitation, a decision of the customer to cancel a purchase order or supply agreement, demand for and acceptance of the company’s personal care ingredients, advanced materials and formulated products, changes in development and distribution relationships, the impact of competitive products and technologies, possible disruption in commercial activities occasioned by public health issues, terrorist activity and armed conflict, and other risks indicated in the company’s filings with the Securities and Exchange Commission. Nanophase undertakes no obligation to update or revise these forward-looking statements to reflect new events or uncertainties. I would now like to hand the conference over to the President and CEO, Jess Jankowski. Please proceed.
Jess Jankowski: Thanks for that introduction, Carmen. Good morning, to all of those listening live and welcome to those who choose to listen later online. Thanks for joining us today for a discussion of our full year 2023 results and more importantly, an update of the state of the business and our outlook for 2024. We've seen many changes over the past year and we believe we're beginning to see some of them pay off. Kevin Cureton, our Chief Operating Officer, is joining me on the call today. We have prepared comments. Then, Kevin and I will be available for some Q&A afterwards. Today, we plan on covering 2023 results, the ongoing litigation between Nanophase and BASF and critically, how we position ourselves to turn the corner to sustainability and profitability going forward. We'll spend the bulk of our time today talking about the future as it reflects why we're all here. In discussing this, we'll also share some of the major efforts we've made to measure and manage to our 2024 plans through KPIs and a high degree of focus on critical areas that have presented chronic problems in the past. In Q4, we added an experienced purchasing manager followed by an experienced buyer in Q1 of this year. We've seen the impact of our new VP of Operations supported further by our purchasing adds yield a higher degree of control and greater efficiencies in our operations. We've also just concluded an additional financing, which will give us some breathing room in terms of supporting the rapidly expanded working capital demands that our incredible growth has placed on our companies. We expect the degree to which this will help to enhance our operations this year to become obvious to everybody in the coming months. Before we continue, let's walk through the numbers. Unless identified otherwise, all numbers will be stated in approximate terms. Performance in Q4 2023 was similar to Q4 2022’s, both falling short of our plan and our expectations. We saw $8 million in 2023's fourth quarter versus $8.3 million in revenue for the same period in 2022, and losses of $2.1 million and $2 million respectively. A marked difference between the two periods was that Q4 of 2023 represented a period of conscious investment in restructuring the business for greater efficiency. We were also able to lock down our inventory for 2023, which had historically been difficult. We invested a great deal of time in working through raw material shortages, helped substantially by the addition of our new purchasing resources. This hurt us in Q4 and the first part of this quarter but we believe we now have it under control and have adopted a systematic approach to our supply chain management backed by experienced professionals that have already paid for themselves. Looking at the full year comparable numbers, we had $37.3 million in revenue for both full years 2023 and 2022. In terms of revenue mix, Solésence revenue was up 9% to $25.2 million in 2023 while personal care ingredients and advanced materials were down by 17% and 9%, respectively. Some of our struggles with working capital along with material shortages kept our Solésence growth lower than it should have been and lower than it will be in 2024. We were unable to satisfy all of the demand that we've had for Solésence finished products, and demand continues to grow. We see the light at the end of the tunnel here and expect these shortfalls to be much more manageable as we get further into 2024. The Solesence growth was largely offset by the 17% reduction in year-over-year BASF revenue I mentioned amounting to $1.8 million. While we expect BASF revenue, which as you may recall relates to sunscreen active ingredients to stabilize, it is something over which we have less control than in the finished products business we sell through Solésence. Analyzing the dynamics in each market, ingredients versus finished products, it's easy for us to draw the conclusion that our development of Solésence was the right strategy to maximize the value of our companies. For the full year of 2023, we had a net loss of $4.4 million versus a net loss of $2.6 million for the same period in 2022. This trend was certainly a disturbing one and one that we believe we've addressed effectively for 2024. I'll cover operating expenses first, then discuss our vision for improving gross margins and throughput materially in 2024. R&D expenses, which include engineering, were up by about 26% year-over-year. This was due to increases in staffing, product testing and intellectual property development. These things are necessary to allow us to remain in front of the prestige cosmetics market as well as to support new technologies, which we expect will keep us in the rapid growth curve we've enjoyed with Solésence to this point. We expect to see these expenses flatten in 2024. In terms of SG&A expenses, they appear to be relatively flat year-over-year, but they included some items that we don't expect to repeat. The greatest of these are legal fees relating to the BASF litigation. They amounted to $1.3 million in 2023 versus $400,000 in 2022. Almost 90% of the $1.3 million in fees were incurred during the first nine months of 2023. Related fees for Q4 of '23 amounted to $130,000 or 10% of the total showing a marked decline. Legal fees have gone down as we continue to work with BASF toward a mutually beneficial solution focusing on business issues more than legal issues. While it's not over till it's over, we're optimistic that we'll resolve this litigation soon and be able to focus all of our attention and energy in building the value of the business. Not reflected in any of our 2023 SG&A numbers is the reduction in force and rationalization of operating expenses we implemented during mid Q4. We expect to see people related expenses go down, which will contribute further to what we expect will be a reduction in overall SG&A for 2024. We also had an additional $500,000 in interest expense due to increases in interest rates and our need to finance our expanded working capital demand mainly through debt. Our recent financing will help us to reduce our dependence on debt in this regard along with expected interest expenses. In addition to manufacturing efficiencies, which we’ll touch on in a minute, all the things we just discussed will contribute maturely to 2024 profitability. Now I'd like to address the changes we're implementing in manufacturing that we expect to yield material improvements. A function of having to wrestle with our working capital needs to such a great extent in 2023 was that we were forced to delay a series of relatively modest capital equipment enhancements that have hard cash payback periods ranging from 15 to 30 months, not to mention the advantages of higher throughput in helping us to capture our growing demand. I have three projects in mind that given our recent financing and the stability it has added we're currently completing. The first is the installation of a lab that will allow us to complete more of our microbial testing in-house. Every run of Solésence products that we produce currently get sampled and sent to an outside lab for microbial testing. This is a time consuming and expensive process. Our QC costs have climbed as we've grown and more and more batches, a good thing, have resulted in higher and higher testing costs, as well as the associated delays with sending samples to outside labs. We're required to run tests that take more than a week and must be completed in final packaging. We've had our microbiologists working to build our own lab beginning in 2022. We started the equipment investment in 2023 and had to hold off due to cash pressures. This was a double edged sword costing more money and outside testing, which is a direct hit to our gross margin as volumes increased causing more tests and we were unable to capitalize on our investment to that point. We'll invest less than $400,000 in 2024 to finish this project. It will have a hard dollar payback of less than two years saving approximately $300,000 per year at current volumes, and will take a week or more out of our cash cycle. This will also lead to happier customers. The second project involves the transition of our wet processing lines from Romeoville to our Bolingbrook facility. When we found extra time in Q4 as production was held up, we invested some of that time in beginning to transition our wet processing to our Bolingbrook facility. Given that we now do 100% of our filling and assembly in Bolingbrook, this is a logical next step. This project has a two and half year payback and we expect it to yield more than $400,000 per year in hard cash savings or even more as volume increases. The third project involves the further expansion and automation of our filling and assembly processes in Bolingbrook. We have five clean rooms running or runnale in Bolingbrook, two of which are fully utilizing a high degree of automation. For a relatively small investment, we'll add automated capacity to two of the remaining three rooms, which will increase throughput while reducing cost per unit. As our business volume and product suite has expanded, we found that it's much more efficient to have different rooms dedicated to different types of filling and assembly, be it for tubes, [titles], sticks, bottles or whatever configuration the market desires. Some equipment is currently serving double duty and needs to be reconfigured as we switch between product types more often than it makes sense given our growing volumes. We expect this project to have a roughly 15 month payback period. These three projects, in total, will cost just over $2 million with some of this total expenditure having already been made in 2023. We expect payback for the combined projects to be less than two years. We also expect that these three projects will allow us to produce up to $100 million in Solésence finished products. This additional capacity will become available by late summer. While we're not nearly satisfied with our 2023 results, we are doing the things we must to capitalize on the fantastic products we continue to develop and sell. Now I'd like to ask Kevin Cureton, our Chief Operating Officer, to share his comments and his optimism around the progress we're making and the approach we're taking through 2024. Kevin?
Kevin Cureton: Thanks, Jess. To our investors, thank you for your continued commitment. And to our teammates, thank you for your tireless efforts in helping us achieve our mission. Today, my role is to provide more details about how we are evolving our management practices, to enable our company to translate revenue into sustainable profitable growth. While I'm sure some of our shareholders would prefer that we just do it, we also realize that several of our investors would like the reassurance that we understand the sources of the issues we have faced and therefore also understand and moreover can fix them. To begin, in part because there has been some discussion on the message boards to the contrary, I want to be sure that our investors understand the connection between our ability to bring the world's most innovative SPF infused skin care, complexion and color cosmetics products to market and our ability to manufacture the novel aspects of these products. The characteristics of the zinc oxide and the dispersions that we produce to build our formulations are at the core of what drives our market differentiation. These methods are at a minimum novel and in some cases one of kind in terms of how they are practiced in our industry. This makes us unique as a vertically integrated manufacturer, still the only manufacturer of this type that we are aware of in our industry. This integrated structure means that we manufacture over 30% of all the materials that we use to make the products that our brand partners take to market. It also adds a level of complexity to our business that our competitors don't have, which also gives us an competitive advantage that they have a challenge to match. Our investment in IP further buttresses this critical point of difference. While in fact there are some elements that we could outsource, we also would take a risk of teaching the market more about what we do and how we do it. As those of you who are familiar may know, rendering patented knowhow into physical products typically will include trade secrets that make all the difference in terms of achieving the performance attributes and the aesthetics that we seek. It's vital to our future and ultimately our profitability that those secrets remain so, and therefore, we continue to make the unique materials internally. Obviously, these elements of the business add to the complexity of how we manage and scale our company. The good news, as Jess has already mentioned, is that we have long -- at long last build a strong operating team. The strongest we believe since the inception of Nanophase, which has a unique ability to both build the processes we need to improve internal controls and execution and the capability to operate the company as we grow to a nine figure organization over the years to come. An important part of the change in our operating model is the implementation of key performance indicators or more commonly referred to as KPIs. The KPIs we have established are how we measure both our company's performance and the performance of our teammates. The three KPIs I will talk about today and we will discuss on a continuing basis as we measure are measures that most significantly impact profitability and customer satisfaction. These are inventory accuracy, throughput and on time in full. I'll discuss what each of these are and their implications for our company a bit further. We'll start with inventory accuracy. This KPI measures whether we have both the quantities of material we need to make our products and if we have them at the time they are needed to fill the orders from our brand partners. Failure in this area was the overwhelming contributor to our poor performance in the second half of 2023, causing frequent production delays as we found ourselves short of the necessary raw materials and packaging to meet production demands. Needless to say, this led to substandard margins, unmet customer demands and related inefficiencies. In order to achieve any of the other KPIs requires us to be at 90% or greater for the inventory accuracy KPI, not simply at the end of a given reporting period, but every day. During Q4, this number never exceeded 80%, being as low as 50% at the beginning of Q4. At the beginning of Q3 and in mid Q4, we made some changes to our supply chain team. Again, this is something we continue to mention because it's so important to our company, including bringing in an experiencing purchasing leader and bringing this group under the responsibilities of our VP of Operations. In Q1 of this year, we further augmented our buying team and now we expect to bring this KPI inventory accuracy in compliance with our goals by the end of Q1 2024. The next KPI is throughput, fundamentally measures how we perform relative to leveraging our assets and meeting our cost targets as related to labor efficiency. This measure is used at each of the process levels, at making the zinc oxide, making the bulk lotions and finally, the finished goods. As you can imagine because of the poor results related to inventory accuracy, we had poor throughput in both Q3 and Q4. Because of the high percentage of materials of our material requirements that are produced in-house, our performance related to throughput can be a vicious cycle if we underperform on internal production or virtuous cycle, if we are meeting our performance metrics. During Q4, we were less than 80% of our target for the entire period, though the performance steadily improved throughout the quarter. The final KPI we will discuss is our on time and full KPI, which is commonly referred to as OTIF or [OTF]. We reference this as a customer satisfaction measure as it is one of the two key requirements for retail brands to succeed. Meeting this measure means that brands have their products they need to sell at the amounts they need to sell them at the time they need them in the retail store. As this measure is an outgrowth of the prior two, it will be no surprise that we underperformed with [OTF] well under 70% in Q4. Note that the top organizations in our industry and in others seek to be greater than 95%. This is our goal for 2024 and further, we expect to reach greater than 90% in Q2 to early Q3. In closing, I do want to mention one other item. I'm sure many of you are familiar with the phrase and philosophy coined by Kara Lawson, handle hard better. This phrase and moreover what it embodies is an important KPI of sorts for us. Handle hard better is for those people and organizations striving to do great things and it is about changing your paradigm from expecting things will get easier over time to expecting that they will not. According to coach Lawson's concept, what must happen for any person or organization who wants to achieve greatness, to do what others have not, is to learn to handle what is difficult better. Our company is regularly doing things no other company has done before in terms of the innovations we create and the manufacturing techniques needed to bring them to fruition. We are seeking to do and be great. So this is our challenge, to handle hard better. We are funded and most importantly have the right team to get this done. As my father would say to this statement, your actions speak so loudly I can barely hear what you have said. So we will and do expect, in fact, to let our results in 2024 and beyond be our statement. We look forward to discussing these KPIs further in just a few weeks as we report Q1 2024 results. Thank you for your time and attention. Back to you, Jess.
Jess Jankowski: Thanks, Kevin. We left 2023 again with demand we were unable to satisfy. This was due to production constraints, not demand issues. The small investments in capital represent an opportunity to increase throughput, shorten response time to customer demand and more than double our current capacity for Solésence products. Our products speak for themselves, our customers love them, the industry rewards them, and we're going to be able to ship more of them than ever before. I probably worn out some of our investors with this thought but it's important enough that it bears repeating. Solésence, a wholly owned subsidiary of Nanophase, is still an early stage company. We founded Solésence based on new technology, technology that Nanophase uniquely had the strengths to develop. We then leveraged deep institutional knowledge of the personal care active pharmaceutical ingredients markets and technical requirements. Developing products takes talent, we've done that well. Understanding markets and when necessary developing markets takes experience and grip. We've shown that we do that well too. The hard part is doing these two things in concert in such a way that consumers love it and demand more of it. We've done that remarkably well. We haven't scaled our internal processes ranging from supply chain to volume manufacturing as efficiently as we expected to. All of us and many of you listening today have suffered through this with us. We're turning that corner in 2024. As we continue to grow and do so much more efficiently and profitably, we intend to make this obvious to you as well as the larger investment community. We talk every quarter often without enough to share to make these calls meaningful. Our investors search for little kernels and tidbits of information and what we say and often draw conclusions that are not representative of the opportunities we have before us. We're playing the long game here. We built something that we believe will be sustainable and enduring. We're competing in an exciting industry that wants more from us, and we're positioning ourselves to deliver. Why don't we get right to your questions? Although, we know that most of our investors listen to the webcast or review the transcript after the live call, we'd like to invite those participating in today's call to ask any questions you may have or to share your feedback. Afterward, I'll offer a few closing comments. Carmen, would you please begin the Q&A session?
Operator: [Operator Instructions] We have a question from the line of Wayne [Roen], Private Investor.
Unidentified Analyst: How long will it be before we have the next quarterly report? And it's been difficult trying to get hold of anybody to ask them questions in this last five months. You leave a message and you call and nobody gets back to you. And other than that, I'm glad we are looking for sunnier days.
Jess Jankowski: We are and we're living in them. Regarding the next call, we'll probably have it later in April, I'm guessing, depending on how long it takes to close the books et cetera. So far, we've had decent results for the first couple of months. Got to close-up March. And we're also, this time of the year, we're also hustling to get through our annual audit and file our annual report which takes a lot of time, which is part of the reason the first quarter results always drag out. Regarding the Investor Relations, we don't really have a full blown department to do that. We have somebody that pitches in who is wonderful, but very -- doing a lot of other mainly accounting related work. And that's something that we would like to expand at some point in the future when it makes sense. We also have an issue that our -- and I know it's human nature that most of our investors or many always get most interested in results during what we would call a quiet period, which is that last period of any month prior to an ending period where we know we're going to release results in a few weeks and we really can't talk about anything except three months ago's results. But I do understand that that's frustrating and that is something that we are thinking about. And one of our ideas has been and it's just a matter of really me making it happen more than anybody else is to have more regular updates on our Web site. And that's something that hopefully we will get done soon and then we'll be able to address that. But thank you, Wayne. And I do appreciate your concern.
Operator: [Operator Instructions] And it comes from the line of James Lieberman with Revere Securities.
James Lieberman: It does seem like you've accomplished a great deal in terms of managing through the incredible challenges of growth and supply chain and capital requirements in the process. And I know it's been a painful long process, but it looks extremely well, extremely methodical and I'm pleased about that. So it really looks like your order flow looks terrific in spite of the fact that you have difficulty delivering. So that's -- just give a little bit more color on that is how sticky are those orders with -- considering the length of time to deliver. But it also seems like now that you're feeling more comfortable in your production throughput that you're starting to answer those questions and make your customers feel better. Can you give a little comment on that?
Jess Jankowski: I'll say a few words, and then I'll invite Kevin to comment. I think that just from a perspective of a cynical financial background guy, it drives everybody here nuts when we can't make a customer happy by delivering on time. And I think it's a testament to the quality of the products. We're not under any illusions that people just like us and they're willing to deal with late shipments or not getting things on time. And financially, the way this business works, which is very different from the advanced materials business, is that in terms of seasonality, the more you can deliver the first time they want it, the more the follow on order is going to be or the more they can saturate whatever outlet they're in. So we see it -- as we solve this problem, we should be getting back to much greater 9% year-over-year growth rate for Solésence is really only a function of us not being able to deliver those materials. And I lament any volume that we left on the table but I also think we are so focused on it that's something that we're going to do much better with this year. And I'd ask Kevin to add some color to that.
Kevin Cureton: And I think really, Jess said most of what needs to be said on this subject. I do think we continue to -- as you've seen in our press releases win awards in our segment in large part because of our points of difference and that does translate into better sell through for our clients. And so that in and of itself means that they have an opportunity to gain share in the market and grow faster than the market. And as long as we're doing, as Jess outlined, filling those orders as much and as fast as possible, we'll continue to benefit from it.
James Lieberman: I wanted to let you know that we had a family trip and required good coverage for sun product. And we end up using the color science no show product. And it was wonderful in the sense that it just rubbed right in, it was very, it was -- everyone was stunned at how well and they liked it. And I'm wondering, are you able to give any other names of products that are out there if you wanted to sort of for people who might want to experiment and maybe have a chest full of these kind of products for family and friends?
Kevin Cureton: Yes, there is one that surprised -- to our surprise and to our benefit I guess just recently launched and they actually used our trade name in their marketing on social media. It's a company by the name of Tatcha that sells primarily through Sephora. It's a prestige brand. They launched, really relaunched a product that we had developed for them into some enhanced packaging. So that's another one of those products that's available out there. And there are a few others but that's a quick one right off the top of my head here, Jim, for you to consider.
James Lieberman: And also, are you able to give any further color than what you've already talked about regarding the BASF negotiations? I'm beginning to feel a little comforted by the reduced legal expenses and like you said that you're making progress. Is that something that is -- that you're hoping to go away or is that a relationship that could actually still build on some level?
Jess Jankowski: Definitely a relationship that is still going to build. We're not hoping it goes away at all. We've never stopped the commercial relationship with BASF. And we have -- one of the reasons that the legal fees are going down isn't as much that we're not in contact with them, it's that the contact is between typically Kevin and I and then their top commercial people more than it is lawyers. So I think our -- we're on salary. So it is what it is. But I expect that -- I also expect their business -- that business is going to move and expand over time, and we are also working on new products with them as well. And I think that's an important thing. I think they recognized the value of minerals based products as well as everybody else. And so I'm not looking to that -- we're not looking for that to go away at all. I just think they had a down period and a lot of that is the markets they're in are also different. I mean one of the nice things about -- if you look at our company, from 1,000 feet up, you might say to yourself, gee, this whole company is about sunscreen or sun care. In reality, the API, active pharmaceutical ingredients business that we sell to BASF is going into some daily wear sunscreens and going into baby care, people with sensitive skin, leisure wear sunscreens. That market didn't do as well last year as the cosmetics market that has sun protection, which is where we play with Solésence. So we kind of have -- we've taken our expertise in an area and branched out into a series of markets and also a series of roles. As we mentioned earlier, we have a little more control, a little more leverage over this lessons business, which is helpful. So I'm hopeful that both of the leisure market will move forward in the daily wear, more mass market products will move forward. And I know the prestige cosmetics markets are moving forward.
Operator: [Operator Instructions] It comes from Ron Richards.
Unidentified Analyst: Jess, I was just wondering more about the BASF's litigation. Is it scheduled for trial? When, if it is,a nd what's the exact status of that if it's not scheduled for trial?
Jess Jankowski: It's not currently scheduled. We're in a period -- we've got a period where we held off. And we agreed to withdraw the suit on a temporary basis. The end of April would be the time that we would have to do something relative to starting up discovery again if we were going to do that. So there really is not a lot of pressure from that end of it to get it done, even though we both companies feel a lot of pressure to get this done just to get on with the business that we're much better at than litigation.
Unidentified Analyst: When you say you withdrew the suit, is that [Multiple Speakers] you and they…
Jess Jankowski: Yes. We did a filing and agreed to hold off on the suit and also to hold off on any further discovery. And so we'll have to -- we've got a month and half to get to the point where we might have to do something else if things don't work out, but I think we're both confident that things will work out prior to that.
Unidentified Analyst: My next question is a lot of your process this year were on the cost of legal fees. Yet in the third quarter, legal fees went down but the earnings did not improve. What am I missing here?
Jess Jankowski: I'd say the legal fees stand out on an annual basis just because it's such a big number and it's all sitting in SG&A. I think the biggest thing -- I mean that -- without those, we would have been in better shape globally because that sucked a lot of cash out of the business and working capital has been a grind. I think the biggest issue for the second half, as Kevin mentioned, was not being able to deliver on time and having shortages due to supply chain issues. And when you compound that with -- we were building a new team in there, we made some changes. We also did a reorganization in Q4 and we were short on cash. So we weren't in the position to a traditional way to deal with those problems, it’s just order a lot of material and have it available and it wasn't something that we could do freely to mitigate that. I think the last piece, which is hard to quantify because it's more subjective, is that when you have issues like that, you can't schedule production smoothly. You find out a little too late in the game that, gee, I can't make X hundred thousand units next week because I'm not going to have what I need until the following week, so now I've got to flat something else in. And those costs, I think we're more -- those are something we've addressed. I think the gross margin is going to be getting better and better. And that's really where the biggest part of the hits in the second half of the year came from.
Operator: And with that, I will close the Q&A session and turn it back to Jess for final remarks.
Jess Jankowski: Okay. Well, thank you, Carmen. As we've said, demand for our products is not slowing down. We're working hard to get them out the door faster and to help more people be healthier, feel better and look better with them. We're growing, we're winning award after award and we're winning new brand partners and consumers. The answer to Jim's question about if we are still growing and some color on how the delays have impacted, well, during that process, we are also adding new customers. So it's no secret in this industry like every industry that's as narrow as they can be people know what's going on. And people know that we haven't delivered in every case and that we now have addressed that. The funding that we recently received is really going to help a lot in terms of just allowing us to focus on the issues we have to attend to that are operationally related. The reputation of the company, the Solésence business is still very good. We have $35 million in shipped and confirmed POs through this week. We're going to be getting more. We're positioned for sustainability in 2024 and we expect the improvements to start becoming evident in our results. So I'll thank you all for being here with us today. We'll look forward to the next call when we have more positive results, including KPIs to discuss as we continue to improve the profitability and sustainability of our business. Have a great day, everybody.
Operator: And thank you. This concludes today's conference call. Thank you all for your participation. You may now disconnect, and please have a great rest of the day.